Operator: Good morning. I would like to welcome everyone to the Plaza REIT Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct the question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] I would like to advise everyone that this conference is being recorded. I will now turn the conference over to Kim Strange, Plaza's General Counsel and Secretary. Please go ahead, Ms. Strange.
Kim Strange: Thank you, operator. Good morning everyone and thank you for joining us on our Q3 2024 results conference call. Before we begin, we are obliged to advise you that in talking about our financial and operating performance and in responding to questions today, we may make forward-looking statements, including statements concerning Plaza's objectives and strategies to achieve them, as well as statements with respect to our future plans, estimates and intentions, or concerning anticipated future events, results, circumstances or performance that are not historical facts. These statements are based on our current expectations and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the risks that could impact our actual results and the expectations and assumptions we applied in making these forward-looking statements can be found in Plaza's most recent annual information form for the year ended December 31, 2023 and management's discussion and analysis for the quarter ended September 30, 2024, which are available on our website at www.plaza.ca and on SEDAR Plus at www.sedarplus.ca. We will also refer to non-GAAP financial measures widely used in the Canadian real estate industry including, FFO, AFFO, NOI and same asset NOI. Plaza believes these financial measures provide useful information to both management and investors in measuring the financial performance and financial condition of the trust. These financial measures do not have any standardized definitions prescribed by IFRS and may not be comparable to similar titled measures reported by other real estate investment trusts or entities. They should be considered as supplemental in nature and not as a substitute for related financial information prepared in accordance with IFRS. For definitions of these financial measures and where to find reconciliations thereof, please refer to Part 7 of our MD&A for the third quarter ended September 30, 2024, under the heading Explanation of Non-GAAP Measures. With that, I will turn the call over to Michael Zakuta, Plaza's President and CEO. Michael?
Michael Zakuta: Thank you, Kim. Good morning. We appreciate you joining today, as we review our financial performance and some other key metrics and achievements for the third quarter of 2024. Over the last few months, we have witnessed continued drops in bank prime rate. Inherently this helps our business and will help make the overall REIT market a more attractive investment. Our portfolio is resilient and comprised of high-quality essential needs retailers who target nondiscretionary spending. Fundamentals remain strong in the space in which we operate. I will now turn the call over to Jason, who will talk about our future prospects.
Jason Parravano: Thank you, Michael, and good morning. As we near the end of the year, I am pleased to mention that the overall portfolio continues to demonstrate great operating metrics. Our occupancy rate remains stable and leasing spreads continue to move in the right direction averaging 9.2% for the average rate over the renewal term. Tenant demand continues to be a key driver in our success and the geographic positioning of our asset mix is an advantage. So far this year, we diligently worked towards to renew roughly 700,000 square feet and have secured approximately 200,000 square feet of new leasing. This is a clear demonstration that the retail fundamentals in Canada, remains a strong testament to our great properties and our team's hard work. In addition, barriers to entry for retail, real estate remain high. As such, we have been able to continually capitalize on this lack of supply through very healthy leasing spreads. Our open-air centers continue to demonstrate our strongest renewal spreads, which remain north of 10%. In addition, intensification opportunities have begun to materialize as retails are coming face-to-face with supply issues. We are in the early days of assessing the benefit from set intensification but nonetheless the demand remains promising. These intensification opportunities include additional development square footage on excess land for which we never attributed any value. Additional opportunities include converting certain mothball space to GLA as well as other repositioning opportunities within the portfolio. For the quarter and year-to-date, our same-asset NOI was 1.9% and 2.8% respectively, which is a direct result of certain asset repositioning and strong leasing spreads. Our capital recycling program for 2024 has essentially come to an end with a handful of closings remaining between now and the end of the year. The overall goal and net effect of our capital recycling program is to increase the average size of our properties, reduce the average age of our assets and improve the overall quality of the portfolio. Nondiscretionary retailers are aggressive in seeking new opportunities whether opening new -- net new locations or expanding into bigger space when available. As mentioned last quarter, we are looking forward to launching the construction of a new development in the city of Welland, Ontario, anchored by a 35,000 square foot grocery tenant along with many other of our usual customers. This project is a great example of our team being able to identify a market, which is undersupplied, assemble and entitle land and deliver space to our tenants. When finished, the project will have approximately 100,000 square feet of retail space. Construction is set to begin shortly and Plaza will retain a 50% interest in the project. Our teams are actively in the market searching for similar style developments where we can create value. As Plaza's focus has always been retail, we know it very well. We remain focused on being a best-in-class owner and operator of retail properties. We are the only publicly traded REIT offering investors access to pure play essential needs value and convenience retail. I will now turn the call over to Jim Drake, our CFO.
Jim Drake: Thank you, Jason. Good morning, everyone. I will expand on a few of Jason's comments and highlight our results. First, on operating results. Total NOI for the quarter was up 6.5% over last year, driven by recently completed developments and strong same-asset NOI growth. FFO for the quarter was consistent with last year, which is notable given the higher interest rate environment we have experienced. AFFO for the quarter was up 2% on a dollar basis and 1% on a per unit basis on lower leasing costs this quarter. On the leasing front, we continue to maintain occupancy levels near record highs with overall committed occupancy at 97.5%. Jason mentioned, our lease renewal spreads at 8% overall for the first year of the renewal term or 9.2% using the average rent over the renewal term. This includes renewal spreads for open air centers, the most significant portion of our portfolio at 10.5% for the first year of the renewal or 11.9% using the average rent over the renewal. On the balance sheet, our debt-to-assets ratio is consistent with last quarter at 51% excluding land leases. We have only $12 million of mortgages rolling for the remainder of this year and $39 million rolling in 2025 with weighted average rates of approximately 4%. Overall loan to values for these mortgages is 50%. Government of Canada bond yields have come off their highs and we are seeing strong interest and attractive pricing on our debt offerings. For our fixed rate mortgages current market rates are about 5%. As Jason mentioned, we have been active under our capital recycling program. Year-to-date net sales prices for non-core assets have exceeded IFRS values by 9% at a weighted average cap rate of 5.8%. That capital recycling and our mortgage refinancing program have enhanced liquidity. We now have $53 million of liquidity available from cash, operating line and interim facilities as well as $10 million of unencumbered assets. Finally for the fair value of our investment properties, we took a $3.6 million write-down during the quarter on minor cap rate movement and a few updated appraisals. Our weighted average cap rate is now 6.86%. We continue to believe this is a very realistic valuation given the quality of our portfolio especially in a lower interest rate environment. Those are the key points relating to the quarter. We will now open the lines for any questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now conduct a question-and-answer session. [Operator Instructions] Our first question comes from the line of Mark Rothschild from Canaccord. Your line is open.
Mark Rothschild: Thanks and good morning. Jason you mentioned more opportunity in regards to intensification. Maybe a two-part question. One is that maybe moving a little bit of shift away from new developments there's such a big opportunity in intensification? And then development has been -- it's often in areas where there's more residential development home building things like that. Do you see a slower pace of immigration leading to maybe less development over the next few years from you guys? Or is that something that is not really a connection.
Jason Parravano: So I'll answer your second question first. So I think that housing shortages far outpace the amount of new homes that have been built. So I don't think that a drop in immigration will stall demand for retail properties just given also the fact that retail properties take years to actually come to fruition and develop. And on your first question for the intensification. So these are opportunities within the portfolio where tenant demand has risen as a result of obviously, a higher population and an increase in consumer demand. So it's approximately north of 100,000 square feet at 100% not multiplied by our share. So these are great opportunities within the portfolio where we've attributed essentially no value to the land and these future intensifications can be funded with debt and be extremely accretive to the overall portfolio.
Mark Rothschild: And maybe just one small follow-up on that for me. What type of return – what's the range of what you think is achievable on that and over what timeframe?
Jason Parravano: These are probably within the next one to three years and the return would probably be at around an unlevered return of around 8%.
Mark Rothschild: Perfect. Thanks so much. I’ll hop back.
Operator: [Operator Instructions] Our next question comes from the line of Sumayya Syed from CIBC.
Sumayya Syed: Thanks. Good morning. Just looking at your properties under development that balance has – is at the lowest it's been in a while. What will it take to you to get back to a higher level of activity? Or do you foresee it staying here at these levels in the near-term?
Jason Parravano: I believe – thanks for the question. So I believe as an opportunity-driven business, we chase opportunities which provide best returns for our unitholders. So at this moment in time I think that the greenfield developments are providing less accretive investment opportunities for the business. And the fact that intensification within our capacity has been created within the portfolio that is where the focus is going forward.
Sumayya Syed: Okay. And then just on your same property growth, it's tracking pretty strong year-to-date and I think it's above historical. Where do you see that trending into 2025?
Jason Parravano: Probably around the same levels plus or minus 25 to 50 basis points.
Sumayya Syed: Okay. Thank you. And just lastly a bit of a follow-up on this general leasing environment. How do you see the new leasing interest in tenant demand versus the recent path and how do you think that translates into leasing spreads and escalators and maybe even had a tenant turnover?
Jason Parravano: I suspect tenant turnover to be quite low, especially in the business that we operate in. Again the push towards nondiscretionary spend has been a great benefit to our business. In terms of tenant demand, we're seeing a lot of discount retailers searching to open net new stores. Dollarama announced last week. They just opened their 1600th store with a rigorous plan forward. And we see No Frills and Loblaw is in the news every day pushing their discount banners. So that demand definitely exists. And with a lack of supply it just helps our fundamentals.
Sumayya Syed: Thank you. I’ll turn it back.
Operator: Mr. Zakuta, there are no further questions at this time.
Michael Zakuta: Thank you, operator. As I conclude my final earnings call, as President and CEO, I want to express my gratitude to our employees, unitholders, partners and tenants, who supported Plaza and continue to do so to this day. It has truly been a privilege to lead this incredible team and I am proud of all that we've accomplished together. While this marks the end of one chapter, I'm confident that the foundation we've built and the leadership team in place will continue to drive the company's success in the years to come. Thank you for your trust and for the opportunity to serve as your CEO. I look forward to watching the next phase of the company's journey unfold and remain excited for what lies ahead. I wish you all the best and I'm optimistic about the future. Operator?
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.